Operator: Greetings. Welcome to Kingstone Companies Third Quarter 2024 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce Karin Daly, Vice President of The Equity Group and Kingstone’s Investor Relations representative. Karin, you may begin.
Karin Daly: Thank you, Sherri. Good morning, everyone. Joining us on the call today will be Chief Executive Officer, Meryl Golden; and Chief Financial Officer, Jennifer Gravelle. On behalf of the company, I would like to note that this conference call may contain forward-looking statements, which involve known and unknown risks, uncertainties and other factors that may cause actual results to be materially different from projected results. Forward-looking statements speak only as of the date on which they are made, and Kingstone undertakes no obligation to update the information discussed. For more information, please refer to the section entitled factors that may affect future results and financial condition in Part 1 Item 1A of the company’s latest Form 10-K. Additionally, today’s remarks may include references to non-GAAP measures. For a reconciliation of these non-GAAP measures to GAAP figures, please see the tables in the latest earnings release. With that, it’s my pleasure to turn the call over to Meryl Golden. Meryl?
Meryl Golden: Thanks, Karin. Good morning, everyone, and thanks for joining our call. This quarter, we had the highest income we have ever had in any quarter since Kingstone Insurance Company was acquired by Kingstone Companies in 2009. We also achieved record-setting premiums written. It’s a huge feat to achieve the operating margins we realized this quarter. And it’s another significant accomplishment to attain a 40% growth rate as we’re experiencing in our core personal lines business, but to do them simultaneously is nothing short of remarkable. This is undisputably the best quarter that Kingstone has ever had. I want to thank my great team and all of our employees, who work so hard to make these results possible. I could not be prouder of what we’ve been able to accomplish. Let me start by talking about our growth. As discussed last quarter, our current growth is being driven by the exit of two competitors, who reached an agreement with the New York Department of Financial Services to non-renew or cancel their entire books by the end of this year. Their combined policies in force in downstate New York are roughly the size that Kingstone is today. There is also a third company that’s exiting the homeowners market nationally and has more than 20,000 policies in our New York footprint and is expected to be a growth opportunity in 2025. Our objective is profitable growth, not growth for growth’s sake. And we have been thoughtful about how we are taking advantage of this opportunity so as not to compromise our profitability. Let me remind you that carriers typically lose money on new business and only make a profit over the policies’ lifetime as margins expand when business renews. However, we feel confident that we’re making an underwriting profit on the new business that we’re writing from this market dislocation, which bodes extremely well for the future. There are many reasons for this confidence. First, we’re priced right. Second, we’re only quoting and writing those risks that meet our underwriting standards and profit margin objectives. We’ve also tightened our hurricane deductible requirements to better manage our catastrophe exposure. Third, we’re growing in the segments that have historically been the most profitable for us. We’ve been monitoring our business mix closely, and the new business we are writing is almost identical to our in-force book in downstate New York. Finally, and most importantly, the Select product continues to outperform our expectations. Our reported frequency in Select for the quarter and for each quarter this year has been more than 20% lower than the reported frequency in our legacy product. As the business has grown, the frequency difference with legacy has increased. This gives us great confidence in our risk selection as the legacy product is a 100% renewal business while 43% of Select exposures are new business, which typically has a higher frequency. Select only represents 34% of our in-force personal lines policies today, which makes us super optimistic about the outlook for our business in 2025 and beyond. Jen will share more about our Select product and our financial results this quarter. Core personal lines direct written premium was up 43% this quarter versus the prior year quarter, driven by an increase in average premium of 23% and a surge in new business policy count up almost 4x the new business counts in the prior year quarter. New business premium was 27% of total core personal lines direct written premium this quarter and 20% for year-to-date. We expect a similar dynamic in Q4 with an acceleration of new business as the cancellations from this market dislocation will be sent to policyholders in December. Our current estimate is that we will write between $25 million and $30 million in incremental premium in 2024 from this market opportunity and write approximately 8,000 to 10,000 new policies from these two carriers. Before I touch on guidance, I want to share an update on the at-the-market offering. For those that don’t know, an at-the-market offering or ATM is a way for a public company to raise capital by selling shares of its common stock into the secondary market at the current market price. We sold almost 1.1 million shares via the ATM this quarter at an average share price of $8.48. We used the ATM as a vehicle to build a cash balance at the holding company and used most – excuse me, used part of the proceeds to make an additional principal payment of $3 million on the debt at the end of September and fund upcoming interest payments and other holding company expenses. We made an additional $2 million principal payment this week, so we now have $10 million of debt outstanding. As a reminder, the holding company does not have an independent source of income and has historically relied on dividends from the insurance company for liquidity. We learned over the past few years that we cannot rely just on dividends from the insurance company as the ability to pay dividends is subject to regulation. And we’re restricted until this quarter from paying dividends due to losses over the last few years. We didn’t appreciate just how much of a threat having debt at the holding company could be to Kingstone until we did not have the cash to service our debt or pay other expenses. To clarify, I am not opposed to the company carrying debt. However, I believe it should be managed in a more strategic and thoughtful manner. It’s incredibly important not to repeat the mistakes of the past, and we’re focused on paying off the debt as quickly as possible. The balance of debt will be repaid partially with intercompany dividends and partially – sorry about that, through the additional sale of stock via the ATM. Given the need for a statutory surplus to support our growth, we will be judicious in the use of our surplus so we can continue to grow at an accelerated pace. We also intend to reduce the amount of our quota share for 2025 to retain more of our premiums and profit, which reduces surplus as well. We are in the market now for next year’s quota share, and the amount of the quota share will largely be determined based on the ceding commission that is offered. Our objective is to find the right balance between quota share, stock issuance and the use of dividend to pay down our debt as expeditiously as possible while maximizing earnings. When the debt is fully retired, hopefully by the end of 2025, and we no longer have high interest costs, we can then focus on the most rational capital and reinsurance structure for the benefit of our shareholders. And finally, turning to guidance. We’ve updated our guidance for both ‘24 and ‘25. For 2024, we are reaffirming core business direct premiums written growth between 25% and 35%. And based on approximately $128 million of net premiums earned, we’re raising our guidance and expect to achieve a GAAP combined ratio between 79% and 83%, earnings per share between $1.40 and $1.70 and return on equity between 32% and 36%. For 2025, we’re reaffirming core business direct written premium growth between 15% and 25%. And based on approximately $165 million of net premiums earned, we are raising our guidance and expect to achieve a GAAP combined ratio between 82% and 86%, earnings per share between $1.60 and $2 and return on equity between 24% and 32%. Our guidance now reflects the competitive changes in the New York marketplace, another exceptional quarter, an expected increase to the cost for catastrophe reinsurance for the ‘25, ‘26 treaty year driven by exposure growth and a hardening market for catastrophe reinsurance generally, an increase in reinsurance costs for the recent purchase of winter storm coverage, which reduces our first event retention to approximately $5 million and lower interest expense, among other changes. Don’t forget that 2024 was an exceptionally light year for catastrophes, and we have assumed an average year for 2025. Before I turn the call over to Jen, I want to emphasize what a great position the company is in, perhaps the best position it’s ever been in. The drag from the non-core states is all but behind us. We now have the right team, a great product and a competitive expense structure as our foundation. We already fixed what is broken. And now we are solely focused on the future, improving our processes and products, adapting new technologies and refining our strategy to continue delivering spectacular results and increased value to our shareholders for years to come. With that, I’d like to turn the call over to Jen for a more detailed review of our quarterly financial results. Jen?
Jennifer Gravelle: Thank you, Meryl, and good morning, everyone. We could not be more pleased with our 2024 third quarter and year-to-date results. This now marks our fourth consecutive quarter of profitability with net income of $7 million or $0.61 per basic share for the quarter. For the year-to-date, our net income was $12.9 million compared to a net loss last year of $9.1 million and an earnings per basic share of $1.16 this year compared to a loss of $0.85 last year. On a consolidated basis, direct written premiums for the current third quarter increased 28.1%, inclusive of a 39.4% increase in core direct written premiums [indiscernible] a market dislocation that Meryl was just discussing, partially offset by our continued reduction of our non-core business, which decreased another 60% in both the written premium and policies in force compared to the same period last year. The increase in our core business reflects the strong pricing action with an average premium for personal lines up more than 23% in the quarter versus the prior year quarter. Our combined ratio improved by 38.2 points to a 72% for the quarter. Our current accident year loss ratio improved by 37.6 points with a 31.6-point improvement in non-cat losses and a 6-point reduction in catastrophe losses. We also had a $641,000 favorable prior year development, reducing loss ratio by 1.9 points. Our expense ratio was 33%, 1.2 points higher than our prior year quarter. Consistent with last quarter, our expense ratio was higher than target primarily due to increased employee bonus and contingent commission for our producers, both of which are triggered off our better-than-expected underwriting results. Our non-cat loss ratio improvement was driven primarily by homeowners, our main line of business. And we experienced a decrease of frequency and severity for personal lines as compared to the prior year. We have seen a decline in reported frequency every quarter this year. For the third quarter of 2024, our ex-cat reported frequency for personal lines was 2.3% versus 3.5% for the same period in 2023. We attribute this improvement to better risk selection in our Select products and to a reduction in our non-core business, which has had a much higher frequency than core. Severity has also declined in every quarter this year. Ex cat severity was down 27% during the current quarter when compared to the same period last year. In addition to better risk selection in our Select product and then the reduction of our non-core business, just as mentioned, we also have experienced fewer large losses this quarter compared to the prior year and the 3-year average for the quarter. As of September 30th, we saw positive trends in our investment portfolio with some significant shifts this quarter. Walking you through these key highlights to our performance, let’s start with investment income for the quarter, which increased 14% to $1.7 million, up from $1.4 million in the same period last year. Until recently, we have been investing excess cash generated from operations as well as proceeds from maturing bonds and the sale of preferred stocks into treasuries to take advantage of the high risk-free rates they offered. However, given the speculation during the quarter of Federal Reserve’s rate cuts, we made a strategic decision late in the quarter to shift most of our short-term positions to highly rated 2-year to 5-year corporate bonds. This move reduces our portfolio’s exposure to short-term rates and lets us lock in an attractive book yields for the upcoming years. These corporate bonds have an average book yield of 4.21% in an average – and an effective duration of 3 years. Our non-cash invested assets yield an average of 3.39% with an effective duration of 3.7 years and a weighted average maturity of 6.9 years. This balance between duration and maturity allows us to generate steady returns while managing severity – sensitivity to rate changes. On the operations side, we are generating consistent cash flow with an EBITDA close to $11 million for the quarter. This cash flow is instrumental for fueling our portfolio’s growth, giving us an additional capital to invest at higher yielding – in higher-yielding assets. By aligning our investments with the yield curve, we have positioned ourselves to further increase investment income over time. Approximately 13% of our fixed income portfolio will mature by the end of 2025 with relatively low books that yield of 2.8% and 3.18%. This is an excellent reinvestment opportunity. As these assets mature, we can reinvest them at higher market rates, which will enhance our future investment income. With the drop in interest rates at the end of the quarter, we saw a $3.6 million net increase in the value of our bond portfolio and $3.2 million over the first nine months. This gain is reflected in our balance sheet as an increase in other comprehensive income, adding to our overall financial strength. Overall, we had an incredible quarter with a 28% growth in direct written premiums, a combined ratio of 72%, net income per share of $0.61 and an annualized return on equity of 55.6%. With that, we will open it to questions. Operator?
Operator: [Operator Instructions] Our first question is from Bob Farnam with Janney Montgomery Scott. Please proceed.
Bob Farnam: Hi there. Good morning. I have got a few quick questions and maybe some broader questions. So, on the guidance, are you still assuming maybe a 6% cat load in that combined ratio guidance? And do you have an expectation for an expense ratio target in that combined ratio?
Meryl Golden: Hi Bob. So, to answer your question, yes, we are assuming for next year a roughly 6% cat load because as I have said, 2024 was exceptionally light for catastrophes. And for next year, we have assumed the long-term average. In terms of our expense ratio, we are expecting a decrease in our expense ratio because our earned premium will be up quite substantially. And what we have assumed is roughly a 28% expense ratio for next year.
Bob Farnam: Okay. Great. And then I have – I will have questions on the growth, potentially you have ahead of you. I am sure I am going to have questions every quarter. But for right now, I want to know how have – how has the business gone, according to plan, short, more in advance of plan? Just kind of curious to the core combines, are they going as you expected? Is the pricing for the new customers, is it sticker shock? What type of pricing increases do you suspect you are getting over your competitors at that point when they renew with you?
Meryl Golden: So, it’s kind of hard to say that our growth is going according to plan because who has ever been through something like this before, honestly. So, I would say I am particularly proud of the way we have handled our growth while maintaining our service standards and our underwriting standards. And then relative to the price that customers are experiencing, I don’t really know because I don’t have visibility into what the customer was paying previously. But certainly, we are having a very high conversion rate on the business that is coming, these two companies that are out of business. So, I assume our pricing is competitive.
Bob Farnam: Okay. And the third-party that – the third company that’s pulling out of the market, you said there was a pretty good amount of policies. Do you know what size, premium size that is?
Meryl Golden: So, that company is AmGUARD. It’s a Berkshire Hathaway company, and they announced that they were withdrawing from the homeowners market nationally. So, they entered New York a couple of years ago and grew fast and furiously. And so we will have to see what the market delivers. We are confident in our pricing. And hopefully, the customer will find our pricing competitive.
Bob Farnam: Okay. And if I were – the last question for me. So, it sounds like the Select product is – obviously, the frequency is much better under Select than it is the legacy. What’s – what are the primary differences between the Select book and your legacy book?
Meryl Golden: Sure. So, just to reiterate how great Select is doing, for the quarter, our Select reported frequency for personal lines was 1.6%, and legacy was 2.2%. So – and we have seen this difference every quarter. So, the products are completely different. Select, if you recall, is a by-peril rated product. It’s using years of Kingstone data and industry data in order to price properly match rate to risk. So, I would say one of the primary differences besides the fact that it’s by-peril ratings from our legacy product is the use of insurance score in the pricing and underwriting.
Bob Farnam: Interesting. Okay. That’s it for me. I will let others ask questions, I may come back if I have more. Thanks.
Operator: Our next question is from Gabriel McClure, Private Investor. Please proceed.
Gabriel McClare: Good morning and congratulations on a quarter that’s so good. I don’t really have a word for it.
Meryl Golden: Good morning Gabe.
Gabriel McClare: I have a couple of questions. Good morning. I have a couple of questions. I think you answered the one about the opportunity in 2025 with the third company. But could you talk about pricing? If memory serves, this is the time of the year where we go up on pricing to do the rate changes. How much are we going up? And did Hurricane Helene and/or Milton factor into the decisions at all? And I have got another question after that.
Meryl Golden: Sure. Okay. So we, fortunately, had no impact at all from Hurricane Helene or Milton. However, it will probably impact us through reinsurance rates for next year because we had heard earlier in the year a lot of – maybe that the reinsurance market is softening. And now what we are hearing is not so much so. So, that’s the only impact from – potential impact from those storms. In terms of our pricing, we did, in the quarter, raise rates for our Select homeowners product, 5% and our dwelling fire product by 10%. Typically, around this time, we do a legacy rate change. And I don’t remember the exact effective date, and it was in the low-single digits. So, we are pretty confident that we are – well, actually very confident that we are priced adequately at this time. And don’t forget that in addition to the rate change, we now update replacement cost on every policy annually so that we are insured to value. So, while that’s an increase in coverage, it is also an increase in price for the policyholder.
Gabriel McClare: Okay. Great. Got it. And then the capital allocation front, I know we talked about the debt and we got the announcement about the share sale. So, I understand what we are trying to do is get rid of the debt. Do you have any projections or a range because this is kind of a curveball for some of the shareholders that have been around about the share – the dilution to the shareholders, can you – do you have a range of like how much we could experience an increase in shares or how much dilution we could get by 2025?
Meryl Golden: So, unfortunately, I really don’t. I just want to say that we – I very much view this debt is like a news like having lived through ‘22, I just don’t want to deal with the debt. I want to pay it off as quickly as possible. So, we are really trying to find the right balance between the quota share, the stock issuance and the use of dividends to pay down the debt as expeditiously as possible and to maximize earnings. But I cannot give you an exact number of shares that we plan to sell at this time.
Gabriel McClare: Okay. Got it. Thanks.
Operator: [Operator Instructions] Our next question is from Brad Nelson, Private Investor. Please proceed.
Brad Nelson: Hi guys. I appreciate the work that you have done and going through over the last few years, the phases that you mentioned and stabilization and now growth. I just have a quick question on – can you tell me what the reason is that you are pushing guidance from a diluted share count to a basic share count? I think it’s something that’s a little bit out of the ordinary. Maybe this has to do with the ATM, but what is the reason?
Meryl Golden: So, we don’t really have – like we changed it earlier in the year where there really wasn’t a difference between basic and diluted. So, it’s just what we have out there now. There is no rationale behind it, honestly. If it makes more sense to do diluted, we can certainly change our guidance to include diluted.
Brad Nelson: Okay. I just wanted to know if there was any particular reason, but it just sounds like you – yes, you have made a quick decision on this, and that’s fine. I mean right now, the share count difference is like about 10% or something like that. And obviously, if it’s only – if you are only going to use the ATM, then eventually, they may get a bit closer. But anyway, okay. Thank you for that information. Appreciate it.
Meryl Golden: No problem.
Operator: We have reached the end of our question-and-answer session. I would like to turn the conference back over to Meryl for closing remarks.
Meryl Golden: It’s an incredibly exciting time at Kingstone. And we could not be more optimistic about the trajectory for our business. Thank you to our shareholders for your continued trust and support as we work together – sorry, as we work towards delivering long-term value, and thank you for joining our call today.
Operator: Thank you. This will conclude today’s conference. You may disconnect your lines at this time and thank you for your participation.